Operator: Good morning, ladies and gentlemen, and welcome to International Airlines Group Full Year 2024 Results. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session through the phone line, and the instructions will follow at that time. I would like to remind all participants that this call is being recorded. I will now hand over to Luis Gallego, Chief Executive Officer to open the presentation. Please go ahead.
Luis Gallego: Good morning, everyone, and welcome to our full year 2024 results. As usual I am here with Nicholas Cadbury, our Chief Financial and Sustainability Officer; as well as other members of the IAG Management Committee. I'm going to start today by reminding you of the key elements of our investment case. Our fundamentals are very strong. We have a unique and strong core proposition. We have the best network in the world and the best hubs. Our brands in those hubs are incredibly strong think Iberia in Madrid or Aer Lingus in Dublin. Our customer base is highly attractive think BA in London. And we have propositions that bring together, the markets, the brands and the hubs think Vueling in Barcelona. We are also executing well. Our transformation program is delivering world-class margins through revenue, cost and operations across the group. Transformation is also designed to make this a more resilient sustainable business that can perform well through the cycle. And this is delivered by a talented team of over 74,000 employees around the world. When you put those two elements together it means we are creating significant value for our shareholders. We are delivering sustainable earnings growth. We are delivering a strong free cash flow after investing in the business. And we are delivering significant cash returns to our shareholders. Our strategy in simple. Firstly, we want to make the core of the business stronger. We are getting even stronger in those attractive markets and hubs that I have just mentioned by adding destinations and frequencies and improving our schedules. And we are strengthening our portfolio of attractive brands through improving the offering and operations at each of our airlines. Secondly, we want to grow our asset-light higher margin businesses. IAG Loyalty continues to deliver very strong performance expanding the ways it can create value and it is now our third largest operating company by profit. We can also expand by leveraging our partnerships, so our customers can fly on the best network of flights globally. Thirdly, we want to ensure this is a business that can continue to offer its customer’s, employees and shareholders a long-term future financially and for society as aviation has a clear role to play in connecting people and businesses, as well as providing jobs and economic growth. These strategic imperatives are designed to deliver sustainable resilient profitability as well as accretive growth. And we set some targets out at our Capital Markets Day in 2023 for what we wanted to achieve; operating margins of between 12% and 15% return on invested capital between 13% and 16% and leverage of less than 1.8 times through the cycle. So if you look at those targets, you can see that our strategy is now very much delivering with a set of results that are the best in this company's history €1 billion more than in 2018 on a pro forma basis. It is delivering for all of our stakeholders but in particular for our shareholders. We grew revenue by 9%, whilst growing operating profits by 27%. And we have achieved a 13.9% margin, securing return on invested capital of 17.3%. This is exceptional performance for any business. I'm determined that this is not the peak but the start of a more sustained level of profit. Through our disciplined capital allocation framework means that we generated almost €3.6 billion of free cash flow after investing €2.8 billion in the business. Our balance sheet is strong and Nicholas will tell you in a minute how we are going to maintain that spread. And we are rewarding our shareholders with an ordinary dividend that we intend to be sustainable through the cycle with a share buyback program of €350 million that we announced in November. And with confidence in our ability to deliver sustainable and strong free cash flow, we are pleased to announce the return of up to €1 billion of excess capital to our shareholders in up to the next 12 months. And I will now hand you over to Nicholas to take you through the numbers.
Nicholas Cadbury: Thank you, Luis, and good morning, everyone. I'm pleased to be presenting our strong financial results for the year. This slide shows the key metric trends and demonstrates our delivery of our world-class performance through 2024. The revenue increased to €32 billion driven by our strong networks brands and we delivered an operating profit of €4.4 billion up almost €1 billion. Our transformation program has secured a structural step-up in operating margins to an industry leading 13.8%, which in turn helped us to deliver significant free cash flow and adjusted earnings per share growth of just over 12%. We believe these metrics represent, a best-in-class financial performance not just in Europe, but the world. Moving on to how our year-on-year operating profit growth was delivered. Increase was mainly delivered on the back of strong passenger revenue growth, reflecting the power of our hub improvements, we are making in our networks and the investments in our customer proposition. On the right, you can see the impact of our transformation programs around the group. British Airways, delivered a post-pandemic profit catch-up, that the other airlines had already achieved and we secured further profit growth from our Spanish businesses. Likewise, IAG Loyalty continues to deliver high double-digit margin and asset-light earnings growth. Now, let's look at the performance of our operating companies in more detail. I'm very pleased that almost all our businesses delivered world-class operating margins in their own right. Aer Lingus despite the turmoil where it faced significant industrial action, as well as strong competition in its Dublin hub, still delivered a credible financial performance with operating profit of €205 million and an operating margin of nearly 9%. British Airways,' profits increased 15% in the year to over £2 billion and our operating margin increased by four percentage points to 14.2%. This is helped by strong demand in its core North Atlantic markets coupled with the benefit, we're delivering from this transformation program. Iberia built on the strong margin, it achieved in 2023, delivering a 9% increase in profit. This was the first time in the history, that it has generated over €1 billion in operating profit and it continues to sustain, a high operating margin of 13.6%. Vueling's margins remained strong and best-in-class at over 12%, generating €400 million in profit. IAG Loyalty continues to deliver double-digit profit growth to achieve £420 million of profit. The Loyalty Group now includes the BA Holiday business where we see tremendous growth potential in the future. Moving on to our regional performance in more detail. Overall, we saw strong demand and unit revenue in all of our core markets, during 2024. We ended the year strongly with quarter four seeing this largest quarterly unit, revenue increase of 2024, with a 6% increase. And on a full year basis, unit revenue across the group increased by 3.1%, helping to drive the overall revenue growth of 9%. North America is our largest and most profitable market accounting for one-third of our capacity, with unit revenue increasing by 6.2%. Quarter four was incredibly strong with unit revenue increasing by 14%. Strong performance was wide spread however, you measure it with our main Transatlantic Airlines seeing unit revenues increase by double-digit percentages. Europe continues to be our of our best-performing market, with high single-digit revenue growth. Quarter four was again, strong with British Airways and Aer Lingus in particular. Aer Lingus extended the seasonality of some of its strongly performing leisure routes, and British Airways saw good growth in both business and leisure traffic. Northern America and the Caribbean, is our third biggest market accounting for 20% of our capacity. Unit revenue fell by just over 2% during the year, and in the context of a 12% capacity growth that shows the strong demand for our offering in the region. Iberia continues to drive most of the capacity increase in this region, and reach to Mexico were particularly strong for both Iberia and British Airways. Africa, Middle East and South Asia turned positive in quarter four and we started to cycle over the Middle East conflict. Asia Pacific is our smallest market, and is the only market that hasn't recovered to pre-pandemic capacity with capacity of 27%, as we started flying a bit to Tokyo with Iberia and resumed flights to Bangkok with British Airways. So overall, we saw strong demand particularly across our core markets and we're continuing to see -- which we are continuing to see, although, still early in the year. And we plan to grow our capacity around 3% between 2025, again, focusing on our core market. Our margins are supported by our cost transformation program. Our total nonfuel unit cost increased by 2.6% in 2024, slightly higher than our previous guidance driven by a larger-than-expected negative FX impact in quarter four. Our employee unit cost increased just over 7%, driven by pay deals investments in resilience FX and pleased to say, performance-related pay linked to our financial -- strong financial results. Supplier unit costs reduced as our transformation initiatives offset general inflation pressures and cost increasing related to customer experience and IT investment. Unit costs increased represents new aircraft deliveries, and investments in our operations and fleet. For 2025, we expect similar trends on overall unit cost together with additional foreign exchange translation headwind. This slide shows our financial results at the net profit level. Profit after-tax and exceptional items was €2.6 billion. There are three things, I just wanted to highlight here. Firstly, our net interest cost reduced by €200 million in 2024, mainly due to the lower gross debt, resulting from the early repayment in the second half 2023 of expensive government-supported debt. Secondly, we've recognized an exceptional charge of €160 million relating to the employee restructuring in Iberia's ground-handling subsidiary and then an exceptional charge of €50 million to terminate the agreement to acquire the remaining 80% they were. And lastly our P&L charge normalized -- tax charge normalized in 2024 with an effective rate of 23%. This compares to a rate of 13% in 2023, which was reduced by the recognition of prior year tax losses notably in the group management business. Ultimately, we're a business that generates significant free cash flow in a robust trading environment that we are currently enjoying. During 2024, we generated just over €6.4 billion of net cash from operating activities an increase of almost €1.8 billion. This allowed us to invest €2.8 billion into the business. For 2025, we expect to continue to generate significant free cash flow at a lower level than in 2024 due to two specific things. Firstly, while -- whilst we are confident in our legal position we're required to pay GBP £557 million of VAT to HMRC for the years going back to 2018 pending the outcome of a legal appeal in respect of our Loyalty business that we disclosed last year. Secondly, we expect CapEx to step up to around €3.7 billion, as we take delivery of more aircraft and continue to invest in our business as we execute our long-term strategy. Turning now to our balance sheet performance. I'm pleased that our balance sheet continues to strengthen with a reduction not only in net debt, but also our growth and net leverage. Our net debt reduced by over €1.7 billion compared to last year and is down almost €3 billion compared to December 2022. Our gross and net leverage reduced to 2.5 times and 1.1 times respectively. This is well below our net leverage target of 1.8 times. We do want to further reduce our gross leverage to give us more resilience. The process we've begun last month were the buyback of €577 million of our 2027 and 2029 senior unsecured IAG bond. We also intend to redeem over €500 million of our 2025 IAG bond next month and keep around two-thirds of the 26 expected aircraft deliveries this year unencumbered. This slide shows our maturity of our non-aircraft debt. You can see the impact of the bond buybacks that we just done and that once we redeem our 2025 bond for cash we'll have almost no non-lease debt to pay until 2027. As a reminder ensuring the business is appropriately invested. It is a priority for us. This slide shows our updated CapEx guidance for the year and 2027 -- 2026. Starting with last year CapEx came in a little lower than the €3.1 billion as previously expected. This was driven by the reprofiling of predelivery payments for future aircraft deliveries and supply chain constraints, which delayed our onboard cabin retrofits and property maintenance and programs. Looking forward we expect to take on 26 new aircraft deliveries this year 14 short-haul aircraft, two wide-body long-haul aircraft and 10 321XLR. As I mentioned earlier, we expect to spend about €3.7 billion on CapEx and around the same in 2026. As a reminder this is our gross CapEx expenditure before sales and leaseback transactions. And finally for me, I want to remind you about how we think about our capital allocation which is core to creating value for our shareholders. Our first priority is to maintain our balance sheet strength targeting net leverage below 1.8 times through the cycle, which is a proxy for investment grade data.3 Our second priority is to invest in the long-term strength of the business with a focus on rebuilding our fleet improving our customer experience and enhancing our digital capabilities and advancing sustainability agenda. And of course, we are committed to a sustainable shareholder returns, firstly to ordinary dividends, which has been set to a sustainable level throughout the cycle, which will total €435 million for 2024; and secondly, by returning excess cash to shareholders when our net leverage is below 1.2 times to 1.5 times depending on commitment and the outlook. We started to do this with a €350 million buyback program last year. And as Luis mentioned earlier, we're pleased that given our cash flow profile and confidence in the outlook we can confirm this commitment by an intention to return an additional €1 billion excess cash over the next 12 months. Under that positive note, I will now hand back to Luis.
Luis Gallego: Thank you, Nicholas. We show you a version of this slide last year highlighting the main drivers of value creation over the next couple of years, and we are delivering on those initiatives. British Airways is making a good progress in this plan to deliver a 15% margin in 2027 with a very strong year in 2024. This has been delivered as it improves its customer proposition and operational efficiency. Our Spanish businesses have grown their profits and maintained their profitability, and are close to their €1.5 billion ambition. We will tell you more about this in the inside date that we are going to have in meeting in June with the IR team is going to confirm in due course. And IAG Loyalty goes from strength to strength growing by just over 40% this year to deliver profit of £420 million and we had an ambition to continue to grow this business at over 10% per annum. So I will now spend a few minutes, on each of our strategic imperatives. Our first priority is to grow our portfolio of global leadership positions. In the North Atlantic, we have a leading position. Alongside, our joint business partners we operate around 150 flights every day across the North Atlantic. And we have a 58% share from the U.S. to London. We continue to invest in this core market. BA is consolidating its network, on the constraint by aircraft availability and delivery schedules. And we are excited by the opportunity to increase North Atlantic profitability at Iberia and Aer Lingus, as we introduced the A321 extra long-range aircraft, which give us the ability to manage frequencies seasonality or the mix of widebody versus narrowbody. We are equally excited about the Latin American market. As you will have heard many people say, Madrid is the new Miami, with increasing investment in Spain from wealthy Latin Americas, while Spain itself is one of the best-performing economies in Europe. Iberia is increasing its market share of the traffic in this market and benefiting from the strong demand. Our third core market is Intra-Europe, with a particular focus on Spain. Spain is the biggest domestic market in Europe, and the U.K. to Spain corridor is the biggest international market and we have very strong positions in both. Half of our short-haul traffic represents connecting flights. The remainder is operating by our efficient low-cost airlines such as, Vueling or Iberia Express which are amongst the most profitable in Europe. An airline that runs a robust operation is a more efficient and profitable one. It was a core function of the improvement in profitability at British Airways this year, where they increased their on-time performance by 12 percentage points. This was a direct result of the investment in the teams at Heathrow alongside, investment in technology at our global operations center and as some of you saw when you visited BA last year. Aer Lingus also improved its OTP significantly, by seven percentage points. This was through the optimization of processes around scheduling, planning and ground handling as well as operational responsiveness. With Iberia and Vueling, we operate two of the most punctual airlines in the world, despite the ongoing challenges of European ATC. Moving on to, how we are investing in making our customer journeys and experiences better. We are investing in new aircraft such as the XLR, which has the latest products on board and we are in retrofitting all the aircraft with new seats and technology. We continue to train our people to deliver the levels of service that our customers demand. In particular, we are supporting them with the tools to do that. For example, through the Connected Crew system, that fix potential issues before the passenger is even aware they exist. We are updating our lounges throughout the network at Aer Lingus, BA and Iberia in places like New York, Boston and Singapore with more to come. And technology is a fundamental driver of improving the journey with investments in apps, websites, disruptions, self-service and always-on digital travel assistance. As we have mentioned before, transformation is at the heart of everything we do, to make our business more competitive more resilient and more efficient. We are doing it all the time, everywhere. Much of what I have already described is included in our transformation such as investing in our operations, fleet and our customers. On this slide, we are highlighting some of the initiatives that will become part of our longer-term differentiators. One key area where all of our airlines are improving is, in the way that they retail their offerings, leading to revenue benefits and cost savings. British Airways will lead us, into the next generation of airline retail platforms with new revenue management and commercial platforms as well as app and website upgrade. And both Aer Lingus and Iberia are leveraging the new distribution capability, to drive better content and distribution. Across all our airlines we are using Machine Learning and AI to drive cost and efficiency, for example; Vueling's, scheduling, maintenance and automation of reporting. Coming now to IAG Loyalty, this is the biggest driver of capital-light earnings growth in the group. This has almost doubled its profit, since 2019 and grew by over 40% last year. We are focused on increasing Loyalty to our own partner airlines including new partnerships with Finnair and Loganair in the last 12 months as well as creating value for non-airline partners like Amex or recently through Revolut or Royal Caribbean. Last year we moved BA Holidays to Loyalty. Currently only 5% of BA Club members booked a BA Holiday, but these customers represent almost 80% of BA Holiday's bookings and only around 20% of those bookings use any Avios. We forecast that a 10%, increase in BA Club members, booking a BA Holiday will double revenues. This is a huge opportunity for us and for our customers. Our people are critical to our success. Last year we recruited over 12,000 people across the group showing the power of our brands. Specifically, we have pilot academies operating at Aer Lingus BA and Iberia, as we ensure that the next generation is being playing in these important roles. An equal opportunity is important to us across all jobs and jurisdiction and we continue to target having 40% women in senior leadership roles. In terms of looking after our people, we are working towards longer-term mutually beneficial agreements which will depend on the roles and functions. We continue to make good progress with our sustainability initiatives, with the main focus is to ensure that we are well placed to meet regulatory mandates. We continue to put in place firm contractual commitments for sustainable aviation fuel, which differentiates us from most other airlines. As a result 1.9% of the fuel we used in 2024 was SAF, meaning we are very well placed for a 2% mandate in both the UK and EU in 2025. We have also beaten our 2025 target of carbon intensity with 78.1 grams CO2 per passenger kilometer versus our 80 gram target. Now bringing this all together, we are very focused on creating value for our shareholders. We have the right strategy and business model to drive sustainable earnings growth supported by our transformation program. We are and will continue to generate significant free cash flow and we are committed to returning cash to our shareholders firstly and sustainably through an ordinary dividend. And then we will return excess cash to our shareholders. And on that note, I will open the meeting to questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] Your first question comes from the line of James Hollins from BNP Paribas. Your line is open.
James Hollins: Thanks very much. Three questions, please. I don't know if Sean is on. If he is this would be for him. I was just wondering on the Loyalty scheme changes, whether there's been any sort of sign of a customer negative reaction or the positive reaction or whether all the negativity is really a sign to just the loyalty points websites that are getting their knickers in a twist. And if Sean is on maybe I can get a bit more of an update on the BA rollout of the new app and website I think during Q1 and I think the revenue management system. And then secondly probably for you Luis, I think I saw some comments on your business travel trends or outlook and they look fairly bearish or cautious. Maybe you could just in this forum give us your view on – your views on business travel. Thanks very much.
Sean Doyle: Yes. It's Sean here. Let me start with Loyalty. Fair to say we haven't seen any change in travel patterns or behavior from our executive folks since we rolled it out. I think it's tracking very much in line with the rest of our intake. And I think we've been communicating exactly how the program works. And I think the more people are learning about the spend-based earned program and the additional ways in which they can earn tier I think the more positively it's being received. If we look at digital and technology, we are actually having about 65% of our loops now are booking through what we call the new Bookings.com and we're very encouraged by the user experience there. We also have a beta version of the app that we're testing with a close user group at the minute. Again the performance is very encouraging. And our expectation would be to roll the app out when it's fully functional in Q2 but we're just finalizing the date. But again, very encouraged by the beta trials on the app. In terms of new rev management system that will come in the middle of the year so that's on track. But we haven't been testing obviously the technology yet because we're still working off our own LCS system. So yes, the transformation of the digital experience is really gaining traction.
Luis Gallego: James, in regards to business demand continued improving during the 2024. At the group level we reached 74% of the volumes. That was half in 2019, 86% of the revenues. So that's an improvement in volume of three points in comparison with 2023 and six points in revenue, if we compare with 2023. I think that the performance is different in the different airlines. But we see that finance including banking accounting and consultancy for example, they are coming back to fly earlier. And also IT and tech, they are having a very good performance. So as I said, if we look at Q4 for example, BA volume was 66% and revenue 82%. Iberia volume 84% and revenue 108%. And Aer Lingus volume 105% and revenue 100%. So you can see the differences between the different airlines.
Unidentified Company Representative: In the case of Iberia primarily it was the LatAm flows to Europe that we are supporting this growth. In fact there not only in revenue but also in volumes we are already 6% ahead of 2019 and 25% ahead in revenue in 2019.
Operator: [Operator Instructions] Your next question is from the line of Alex Irving from Bernstein. Your line is open.
Alex Irving: Hi. Good morning, gentlemen. Two for me please. First one is a bit of a follow-up. On Nevio you've clearly had another couple of months of thinking and planning here. Could you please update us on your expectation the RASK impact of this new retailing platform? Related to that you mentioned BA leading the airlines into this new world. Could we therefore infer that Iberia and Aer Lingus may also see a revenue impact going forward? Second question is on the engines and managing through with the Trent 1000. You have essentially been backfilling as best we can for some other planes. How much longer can you be doing this until those planes also starts with maintenance events? More broadly is the Trent 1000 getting any better? Thank you.
Nicholas Cadbury: Hi. Alex, it's quite hard to hear you. I think the question you asked was about the RASK and just kind of what the impact of some of the technology changes was. We're not being specific about it. We're not giving guidance on RASK today. We're not giving guidance about what individual ones. We're still very confident on the recovery the buildup of the BA margin back to 15%.
Sean Doyle: I think on -- there's two phases. Obviously we want us to get the digital platform modernized which is what we're working on imminently. The second then is to move to what we call a shop order retailing which is where the Nevio fills on top of that platform comes. So that will be Phase 2. And as Nicholas said it's captured in our 15% commitment. But we're not necessarily driving that capability as we speak.
Luis Gallego: And about the Trent engines we continue to work very closely with Rolls to improve the engine supply. As you know we needed to adjust the capacity in British Airways. We are working in order to maximize the availability of the aircraft and to have more predictability. We know that we are going to have durability enhancement package very soon that we hope is going to double the time on wind. We will have a second phase of this in 2026 that I think is going to be very positive for the business.
Alex Irving: Thank you.
Operator: Your next question comes from the line of Harry Gowers from JPMorgan. Your line is open.
Harry Gowers: Good morning, everyone. First question you did [Technical Difficulty]. We see the margin in 2024 but that is up 15%. So I just want to know what do you think the true potential for this business over the next few years if you assume there's no [Technical Difficulty] because it looks like 15% over the next years at the current run rate? And then second question on transatlantic. That was beaming at the moment for US carriers. You know, you confirm -- maybe confirm that [Technical Difficulty] put pressure into the market at some point in particular UK and US? Thank you.
Nicholas Cadbury: It sounds like you're on a motorbike. You are just [indiscernible]. Just in terms of margins we just delivered really good margins at 13.8% up nearly 2% year-on-year. And this is in the top half of where we -- our guidance of 12% to 15% range that we announced just a year ago. And this is generating fantastic overall. We've given that guidance of 12% to 13%. We're not giving guidance for this specific year as well. And we're going to keep with that guidance at the moment. I mean, if you look at the individual businesses British Airways we're confident again to the 15%. We put it out there for 2027. We've got a little bit ahead of ourselves. I think we've got a good year as well but I think 2027 is still a good glide path given kind of what we're going to do this year. Iberia has delivered 13.6% and Vueling 12.3%. So they're already at good margins overall. And Aer Lingus just under 9%. You should see recovery back towards the middle of the range just with the disruptions this year. And Loyalty we're going to drive double-digit margin. It should be growing about 10% per year. So we still see -- we've achieved good margins this year. There should be some upside to that overall. But at least we should be able to sustain where we are with some earnings growth from there. But we're not going to give kind of additional sort of guidance for what we've given already. And then just on the transatlantic you're right. We've seen very strong transatlantic growth. You saw kind of ASKs were fairly flat in Q4 but up -- PRASK was up 14% overall. As there we saw -- and we're seeing one of our airlines with growing this PRASK over the quarter. British Airways to the new airline level as well. So really, really good performance there. I think you're likely to see kind of strong performance continuing in the Atlantic into Q1 as well and that's partly because we just had a soft if you look at 2023 in Q4 and Q1 2024 we had kind of slightly soft comparatives overall. I think we'd like to see strong comparatives overall. I think that will kind of soften as you go through the year but I think we are still going to see strong demand overall.
Operator: Your next question comes from the line of Stephen Furlong of Davy. Your line is open.
Stephen Furlong: Yes. Good morning. Okay. I was going to ask about BA margins in France, but let me just circle back and ask something different. Okay. And the first thing Ukraine if something happens there positively, I mean, what do you think the market or you will -- the network in the next 18 months will change in any way? I'm thinking of some pivot towards Asia although I fully understand it's not your core. And second question maybe Luis could talk about inorganic opportunities or generally about consolidation in the market. I'm thinking about half, but just the general discussion on that. Thank you. Luis Gallego Martin So Ukraine, if there is a solution, I think we will have an impact in two areas. One is ATC. Because of the closure of the aerospace ATC is more difficult. And last summer was the second worst-ever summer in terms of ATC. And I think this can help. And the second impact is the network that you said. So we are not flying over Russia because of that. We are canceling some of the flights because it doesn't make sense to compete with people that they can do the flights with two, three hours less. So as soon as the airspace is open, we will reconsider to fly again. We need to do an analysis of safety, because it's not only fly over Russia, it's in case you have a problem over Russia and you need to land there for example, what are you going to do. So we will do an analysis of the situation. And then we will try to resume the operations, but taking into consideration, the lack of aircraft that we have now in the market. So we will give priority to the markets where we want to expand before. And about the inorganic development TAP in particular, we are following the process with the Portuguese government. It looks like in March maybe we are going to have the conditions of privatization. And when we will have that we will take our decision. We always say that this is an interesting airline for the group that I think we can improve the performance of the airline and the airline can help the group to have more presence in markets for example like Brazil where we don't have a lot of capacity. But we need to see the conditions and the freedom. We can have to manage the company because in order to have the margins that we are having in this group between 12% and 15%, it is because we do the right things that we have to do in the different airlines. So I think in maybe six weeks we will have a more clear idea.
Operator: Your next question comes from line of Savi Syth of Raymond James. Your line is open.
Savi Syth: Hey, good morning, everyone. Just for my first question, I was wondering if you could provide a little bit more detail on the 26 aircraft you're expecting this year just kind of what kinds and generally when you're expecting those across the quarters? And the second question is just on the -- around the MRO process at Gatwick. What does that do to your capacity to do maintenance in-house? And any kind of potential contribution to cost there?
Nicholas Cadbury: Just in terms of the 26 aircraft like we said, we've got two wide-body aircraft coming in one for Vueling and one for British Airways. Overall, we're thinking about 10 XLRs into Aer Lingus and Iberia and the rest of the delivery of narrow-bodies is coming in. And they're coming in pretty at phase across the years. We'll always be trying to squeeze them before the summer as well.
Sean Doyle: Yeah. In relation to Gatwick, we have 26 short-haul planes at Gatwick and about 12 long hauls. So I think the ability to do more on-site maintenance is very attractive. It will stop us sparing flights between Heathrow and Gatwick so there's an immediate cost saving there. It also will give us the capacity to do more winter maintenance across our short-haul program and improve summer utilization and also do more base maintenance on our 777 fleet. And I think generally what we found over the last few years is having more resilience on our MRO and maintenance functions is a real strategic advantage. So we were very happy to be able to complete the transaction.
Savi Syth: Thank you.
Operator: Your next question comes from the line of Jaime Rowbotham from Deutsche Bank. Your line is open.
Jaime Rowbotham: Good morning, all. Two for me. So where you've talked about unit costs in 2025, Nicholas you say the inflation will be weighted to the first half. Could you talk a bit about the magnitude of that shift and what the main reasons are for it please? And then secondly, is there anything to say on ownership and control? I'm conscious that Ryanair is looking with removing the [indiscernible] by non-EU and think that might allow for their reinclusion in certain global indices. Obviously, there aren't any restrictions at ID at the moment, but you are I believe still excluded because of foreign entity limitation rules from being included in some of those indices. Is there anything to say there please? Thanks.
Nicholas Cadbury: Yeah. Just the last one, correct there's no news on it as well. I'm not kind of aware of kind of any kind of indices that we're excluded from at the moment. But if anything, just with the dividend and the share buyback, I think we've probably gone into more indices than we have ever been or have been in the last five years anyway, because we've started going into some indices overall which is good news as well. Just in terms of the unit cost for 2025, the kind of guidance we've given is similar sort of trend overall. So not by individual component. But it will for 2025. So that gives you kind of 2% to 2.5% overall. But we have got some FX headwinds as well. That will add an additional fuel but that's mainly translation. So you'll get the benefit also in the revenue as well as unit cost -- per unit revenue as well. So we think it would be weighted towards the half. But we haven't kind of given kind of guidance on that, but that is really towards getting that resilience for the summer. We're assuming that a lot of the kind of external environment is fairly similar to where it was last year. But you should think -- but you'll see it quite heavily weighted towards Q1 and Q2.
Jaime Rowbotham: Thanks.
Operator: Your next question is comes from the line of Muneeba Kayani from Bank of America. Your line is open.
Muneeba Kayani: Good morning. So just on the cash flow then. If you take the €3.6 billion in '24, CapEx up by €1 billion and then the tax card, so well over €2 billion is how we should think about your pretax outlook for 2025. If you can just talk us through the moving parts there. And then, you've talked about the demand environment. With BA Holidays kind of what are you since you probably have a bit more visibility there? What are the trends there through the year? And what's the competitive environment for BA Holidays? Thank you.
Nicholas Cadbury: Yes. So, free cash flow, we generated kind of €3.5 billion free cash flow after CapEx this year. Good results as well. And we call that two things that you expect to see about €1 billion extra going through this year. So we spent €3.7 billion of CapEx this year according to all the aircraft are delivered on time overall. And then, we just called out the kind of VAT with Loyalty, which we spent another €500 million, so they're the two kind of moving parts overall.
Adam Daniels: Yes, sure. It's Adam here. Just on the BA Holidays side, in terms of 2024, we had a strong '24, revenues up 13%. Passenger is about the same. And strong both in the short haul business on the beat and also on our classical logo businesses, the Caribbean and Indian Ocean. So if you look for 2025 and how we're looking to '25 again, bookings look strong. We're seeing a good performance on short-haul beach again, so places like Greece. The Canaries are particularly strong. And we're booked about 60% of -- for the whole of 2025, so strong so far particularly in premium actually. Probably the biggest strength we're seeing is in premium bookings.
Operator: Your next question comes from the line of Jarrod Castle from UBS. Your line is open.
Jarrod Castle: Thank you. Good morning everyone. I'd like to maybe just get your view on kind of what seems to be a debate both in parliament and the press around Gatwick versus Heathrow runway extension. So just how you see that and feasibility and time frame? And then secondly, just in terms of the capacity growth that you've given the 3% and 2% to 4% I guess over the medium term per annum. Can you give any kind of indications in terms of split across the operating companies, how you see that and how you size capacity in general? Is there a limit for instance in -- of fleet deliveries?
Luis Gallego: About Gatwick and Heathrow, I think we support the expansion of both airports, but we always say if we do it in an affordable and sustainable way. So in case of Gatwick, we support that the Northern runway can be in use. I think it's good for the development of the airport. But in any case, Gatwick is not a hub and we need the development in Heathrow. So about Heathrow expansion also, we support the ambition of the government for growth, but cannot be done with the regulatory model that we have in place now and that's the reason we are pushing to have a review of the situation that we have now, because with the current conditions, we cannot afford the investment that is needed to develop the new runway. But in both cases, I think if we do it again in an affordable and sustainable way, it will be good for UK and the development of the economy. And about capacity, if we look at the increasing capacity for 2025 by airline, BA is around 2%, 2.5%; Iberia around 4%; Vueling 4%, 4.5%. Aer Lingus, 7% and level with a lower base 14%. And we look at the different regions. Domestic around 4%; Europe, 3%; North Atlantic, 3%; LatAm, 4.5%; Asia Pacific, 5%. So long haul is around 70% of the growth and short haul is 30%.
Nicholas Cadbury: Jarrod, there's a page on 36 the back of the presentation which just shows you the allocation by airline. Just touching on capacity, we've kind of said 2% to 4% overall. That's not far off what we said at the Capital Market Day. We said at Capital Market Day was 4% to 5%, but that included 2024 which was the high level of growth. So, if you've taken that out we've just moved it from kind of 3% to 4% to 2% to 4%. I think the key thing for us overall is that we're focused on total revenue not capacity growth overall. And then the capacity is due to the delays of aircraft which is the whole world is seeing that. So, we're not alone on that. Hence we've just being more focused on revenue.
Operator: Your next question comes from the line of Andrew Lobbenberg from Barclays. Your line is open.
Andrew Lobbenberg: Hi there. Can I ask what your expectations are on the 777X deliveries? I appreciate you're not the alliance customer. And then the second question would be around alliance partner away from the JV. Any prospects of building and strengthening partnerships with someone to play with in Latin America? And also does the proposed Qatar acquisition of Virgin Australia bring any opportunities for you notwithstanding the potential conflict with just Qantas' oneworld membership? Thanks.
Luis Gallego: The first we have said the first one in 2027 that we are not alliance customer but Boeing is still adjusting the program but we expect to have the first one on them. And about the partnerships, yes, after abandoning the Europe operations, we are considering the different scenarios that we can have and the different partnerships. We have a strong partners in LatAm, for example with LatAm that we have a joint business in Peru and Ecuador. And we are looking at other ways to develop this partnership. There are also other opportunities with oneworld members and other opportunities in North America that we are considering in order to reinforce our network there. But we are working on it and we will inform in due course.
Operator: Your next question comes from the line of Conor Dwyer from Morgan Stanley. Your line is open.
Conor Dwyer: Thank you very much. First question is on Slide 25 highlighted RCL in the deal in terms of being able to earn Avios. I'm wondering is that kind of a similar offering in terms of they can just offer their customers that but also if there would ever be kind of potential for BA Holidays to do something with them and kind of improve that relationship? And then secondly was just around kind of demand in the back of the cabin. I remember late last year a couple of operators are calling a slightly weaker demand particularly in the Atlantic and that part of the cabin. Is that something you're still seeing or if you were seeing it? And what are the kind of trends you're overall seeing in premium versus economy?
Adam Daniels: Yes. In terms of the Royal Caribbean, it's Adam here, yes, that is a relationship that we've started this year in terms of being able to book on the Royal Caribbean site and get Avios. We've seen a good take-up. And due to the average spend of a cruise that means you get a lot of Avios if you book it. In terms of looking to BA Holidays and thinking about BA Holidays selling cruise, that's something that we're thinking about. Considering we are in the middle of a re-platforming with British Airways in terms of British Airways Holidays and the technology we certainly need to do that first before we look at that. But certainly extending the capability of BA Holidays in other segments is something that we're having a look at and is part of what we think could be the growth plan moving forward.
Luis Gallego: And about the letter demand I think 2024 we saw an increase in volume in comparison with 2023 of 6.4% 6.5% sorry. And if we look at the revenue of 9%, so it's still very, very strong. Premium last year it's continue -- continues having a very strong performance across all of our airlines and we don't see any change in the booking plans.
Nicholas Cadbury: We saw late factoring with previous plans --.
Operator: Your next question comes from the line of Guilherme Sampaio from CaixaBank. Your line is open.
Guilherme Sampaio: Hello, thank you for taking my question. This is Guilherme. The first one on the ongoing capital increase in Air Europa and the potential entry of a new shareholders, how this could impact your decision to maintain the current stake in the company and the overall relationship with Air Europa and the LatAm market position? And the second if you could build on your expectations for FX. So, you mentioned the two percentage points impact in terms of cost. What could be the consistent impact in terms of unit revenues?
Luis Gallego: First question, Air Europa as you know we have handled the operation because of the revenues that Europe was asking. We decided to maintain 20% of the company because it's a financial investment. And even we went to the capital increase as they did. In case they have a new partner, we will consider how -- what we are going to do with our financial investment. In any case, it is a financial investment. We are not involved in anything related with the company and the management. So, we need to take a financial decision that we will take what is needed.
Nicholas Cadbury: Your second question about FX. We called out that FX is impacting our non-fuel cost by about 2%. It is mainly translation, so kind of depends on the euro. Particularly, it will -- you kind of get almost an equal impact on the revenue as well. So it will be fairly neutral.
Operator: Your next question comes from the line of Ruairi Cullinane from RBC Capital Markets. Your line is open.
Ruairi Cullinane: Hi. Yes. Good morning. You touched on the supply cost of those, particularly impressive decline in selling costs in Q4. So you -- and help us think where that goes from here. Secondly, just the -- second BA Holidays has that actually been up in bookings as a result of the Loyalty overhaul? I wasn't clear on that.
Nicholas Cadbury: I didn't get the question on cost.
Ruairi Cullinane: Just selling costs and fee are quite a decline in Q4.
Nicholas Cadbury: Yes. Selling costs are coming down. The general trend across the businesses is that they're coming down as well and kind of moving more towards direct sales overall, yes.
Adam Daniels: In terms of the BA Holidays question, it's early days but we are seeing some evidence that Executive Club bookings are increasing on the back of the changes we've made. And if we're looking at where those are, they are particularly in short-haul beach in premium and that's probably where you would expect it to be if you're thinking about getting -- trying to attain peer status or retain the status. So I think early days but some signs that we are seeing some customers take advantage of that opportunity.
Operator: Your next question comes from the line of Jaina Mistry from Jefferies. Your line is open.
Jaina Mistry: Hi. It's Jaina Mistry. And I wanted to double click on BA margin with two questions. You've obviously hit 14% this year. The target is 15% in two years' time. I guess the question is, do you see upside to your target at this stage? Or do you see quite a slow slide path from 14% from 15%? And what's driving that? Where is the reinvestment coming in the next two years? And then the second question is a bit backward looking. So your BA margins grew 4-percentage points last year. How much of this was a post-pandemic catch-up versus self-help opportunities that came to fruition? Thank you.
Nicholas Cadbury: Yes. So the margins in BA kind of got back to where they were originally. So there is a little bit of catch-up. But it's not just a catch-up. It's kind of transformation of the business that we've done both in the kind of efficiency in the cost base and the revenue of the business because it's all fund [ph]. Adam?
Adam Daniels: Just in terms of the margins for BA, if any in November kind of two months of, we put that up in figure, we put a target out of 15% overall. So I think you've got to sort of think about we've got a good glide path to get there for 2027 overall. I don't think -- you may think it's a slow increase. But actually 15% margin would be the best-performing airline in the world from a margin point of view this year overall.
Sean Doyle: No. Again, I think the recent performance, I think gives us confidence on hitting that target by 2027. I think a couple of levers of value that we will mature over the next couple of years will be, one, probably having a bit more mix of long-hauls compared to short-hauls because we're still a bit lower than we were in 2019. So I think the performance is strong in that context. And two is the transformation initiatives that we have maturing as well whether it's the digital experience the investment in technology and the improvements in operational and customer metrics. I think there is more momentum on those levers which is what had us to the margin commitment by 2027.
Jaina Mistry: And just to go back to the second question, which was how much of it is post-pandemic catch-up versus transformation opportunities that come in, would you be able to segment it and say, whether half was a catch-up and half was self-help?
Nicholas Cadbury: Not really. The world is quite different. I think there's so many moving parts but a lot of it is the transformation.
Sean Doyle: Yes. I think the business was 4% smaller than 2019 but delivered higher profits in 2019. So that tells you the transformation is playing a significant role in the performance this year.
Operator: Your next question comes from the line of Johannes Braun from Stifel. Your line is open.
Johannes Braun: Yes. Good morning. Thanks for taking my question. Coming back on the 14% unit revenue performance on the transatlantic in Q4, I was wondering can you give us the currency impact given the strong U.S. dollar. And also, what the impact from higher load factor was just to get the underlying pricing performance? So I guess what I'm looking for is an ex 2020 yield number. And then secondly, free cash flow was €3.6 billion. So for the ordinary dividend, you need I think less than €500 million. Then you announced a €1 billion share buyback, so that still means more than €2 billion is left. And question would be what will you do with all the cash left? Will that be held back for any potential M&A? Or how do you think about spending the cash?
Nicholas Cadbury: I'm afraid to say, that we're not going to break down, our -- any more details than we've given, you given 14%, cost now. So, we don't go into kind of difference by region or load factor by region, overall. Load factor overall was up and North America, is a strong part of it. So for instance, load factor was up, overall. Yes. So just in terms of free cash flow we're returning €1.5 billion this year. We've given guidance in terms of the balance sheet, that we want to manage to. So we're saying that we want to kind of keep net leverage. We want to distribute excess cash, if we've got 1.5 net leverage overall. The reason for that range there is, what the outlook is looking like, which is positive at the moment, but it's also about where we are with commitments and a potential M&A at the moment. So, we're not going to go into what those are. We know that kind of in terms of capital at the moment, we're not spending the amount of capital that we'd like to spend. But we know, by the time we get kind of 2027 2028, so we will see a step-up in the kind of capital spend as we get those catch-up in deliveries going forward.
Q – Johannes Braun: Thank you.
Operator: Your next question come from the line of Alex Paterson from Peel Hunt. Your line is open.
Q – Alex Paterson: Hello, everybody. Can I just ask a couple of questions? One on BA Holidays. Did you say that was 60%, sold 6-0? And is that for all of 2025, or just say this summer? If it is all of 2025, should we expect you to increase your number of at-holds? And secondly, you recently signed an NDC agreement with TUI. How should we think about this in relation to BA Holidays? Is there a risk of cannibalization? Or do you charge API fees? And is the benefit from higher load factors and potentially yield? And does that allow you to offset, any cannibalization?
Nicholas Cadbury: Alex, before we go into much detail, we're going to come back to BA kind of in a later time in the future, because we've just moved it from British Airways into Loyalty. So we really need to make sure that we can get the most of British Airways. So, they will probably come back in more detail at say -- come in more detail. Adam, I don't know, if you want to give any color.
Adam Daniels: Yes. Just in terms of the first question, the 60% is related to the whole of 2025. So that's where we are, and that's what you would expect if you look at the other players in the market. They are maybe slightly below that, but we are roughly 60%. And we're happy with that, if we are on plan and we're still seeing the growth that we saw last year. So, still a lot of upside and a lot of potential to come.
Q – Alex Paterson: Thank you. And is there anything, you can say about the TUI NDC agreement at this date? Or is that something, we should wait for you say more about in the future?
Nicholas Cadbury: Yes. We don't. Thanks, Alex.
Q – Alex Paterson: Thank you.
Operator: Your next question comes from the line of Dudley Shanley from Goodbody. Your line is open. Dudley Shanley. Your line is open.
Q – Dudley Shanley: Good morning, everyone. I wish you could help me. I just want to ask a question, on how you think about North Atlantic capacity, at an overall level. I'm thinking in particular about US, carriers have been talking about record levels of service into Europe, and how you see that playing out over the next year or so.
Luis Gallego: I think, what we see now for capacity and the scale that are published, we see a decline in Europe; North Atlantic in the first quarter, around 4% and in the second quarter almost flat. So if we look at the different halves, that we have in London, it's totally different in the performance in Gatwick, than in Heathrow. In Gatwick, the Q1 capacity is going to be around minus 20% if we compare with previous year. And in the second quarter, similar minus 24%. Heathrow, first quarter is going to be around minus 3%. And the second quarter, almost flat. If we look at Madrid, capacity in the first quarter to North Atlantic is going to be below around 4%, the capacity we had last year. Q2 is going to be flat. In any case, capacity is going to be above the capacity that we have in 2019, that's important. And in Dublin, the first quarter capacity is going to be below 1.8%, if we compare with the same quarter last year. Q2, we are going to have an increase in capacity. And in summer, we are expect increasing capacity of around 11%, with United Delta and Air Canada, mainly adding capacity -- strong capacity during the summer.
Operator: There are no further questions. I want to hand back to Luis Gallego for closing remarks.
Luis Gallego: Okay. So thank you very much everybody, to be here today. We are doing strong results for 2024. I think the strategy that we have and the transformation, we are having in the different businesses and in the group is working well. What we see for the future is the same trend. So, we are looking forward to the next first quarter results presentation, where I hope, we will continue with the good news. So thank you very much.